Operator: Good morning. This is Norma, and welcome to Sotera Health Fourth Quarter 2021 Results Call. You may find today's press release, and accompanying supplemental slides in the Investors section of the company's website at soterahealth.com. This webcast is being recorded, and a replay will be available in the Investors section of Sotera's Health website. On the call today are Michael Petras, Chairman and Chief Executive Officer; and Scott Leffler, Chief Financial Officer. During the call, some of the statements in the company may make can be considered forward-looking statements. The matters addressed in these statements are subject to risks, and uncertainties and that could cause actual results to differ materially from those projected or implied. Please refer to Sotera's Health SEC filings, and the forward-looking statement slide at the beginning of this presentation for a description of these risks and uncertainties. The company assumes no obligation to update any forward-looking statements. Please note during today's discussion, the company will represent both GAAP and non-GAAP financial measures, including adjusted EBITDA, adjusted EPS and net leverage ratio. A reconciliation of non-GAAP to GAAP measures for all relevant periods may be found in the schedules attached to the company's press release and in supplemental slides. [Operator Instructions] I will now turn the call over to Sotera's Chief Chairman and Chief Executive Officer, Michael Petras.
Michael Petras: Good morning, everyone, and thank you for joining us on Sotera Health's fourth quarter 2021 earnings call. I'm very pleased to won't be reporting another quarter of double-digit revenue and adjusted EBITDA growth. This is the fifth quarter that we reported as a public company, and we have reported double-digit top and bottom line growth in every quarter is come public in November of 2020. On our last call, I remind you that Sotera Health delivered revenue growth every year since 2005 when our tracking begins. With these positive full year results for 2021. We have now officially extended at Street yet another year against a healthy 2020 comparable, which we grew even during the initial onset of the pandemic. Scott will provide more detail in a moment, but here are some of the highlights of our fourth quarter performance. We reported total revenue growth of 11%, and adjusted EBITDA growth of 10% compared to the fourth quarter of 2020 as well as adjusted EPS of $0.23, which was a $0.14 increase over our fourth quarter of last year. Sterigenics kept off another good year with positive momentum in the fourth quarter, continuing to run near peak utilization level, while the team continues to manage our facilities at optimum levels. Nordion finished the year strong with full year performance significantly outpacing its historical growth trajectory. As we expected and discussion on our last call, Nelson Labs continues to work through lingering pandemic impacts. The combination of unwinding elevated PPE testing, ongoing normalization of core testing activity, and the impact of customer supply chain disruptions contributed to a weak quarter for the segment. More recently, pandemic-related absenteeism and labor market challenges have had a negative impact on our lab business as well. The Nelson Labs team has taken decisive action to counter these headwinds. Overall, Sotera Health had a good quarter in strong 2021 on a consolidated basis. That performance is also reflected in the careful management of our balance sheet as we achieved net leverage of 3.5x, representing improvement of three-fourth return for the total year. This is consistent with both our near- and longer-term leverage goals. But even more importantly than the financial results for you today, I'm excited to detail for you a few of the countless examples how our mission, safeguarding global health translates to making a difference in the markets where we operate and ultimately for patients. One example includes a testing of artificial skin for critical burn patients. This testing is performed by Nelson labs. Another example is the sterilization of components using robotic cardiac surgeries, which is completed to Sterigenics facilities using Nordion's cobalt-60. We are also excited about the recent launch of the Nelson Labs Mark, which is a verification program that authenticates and confirmed the legitimacy of Nelson Labs testing really to the efficacy, and safety of certain products in the marketplace. The Nelson Labs Mark is a culmination of years of validation testing, and we're excited to be offering our customers and consumers a means to differentiate legend products from those that may have not been adequately tested. 2021 was a significant year for us in terms of executing our strategic priorities, complementing our financial performance with continued execution on organic growth initiatives and strategic M&A. In addition, we continue to advance the rollout of our ESG strategy, where we're advancing our communication on topics that are critically important to our overall mission as well as internal and external stakeholders. Among other elements, our ESG program is helping drive forward our actions related to the first equity inclusion. As an organization, we always seek to maintain a culture that supports a strong team that is collaborative and diverse and attributes as well as ideas. In addition, in 2021, we launched the Sotera Health Academy. This is a new digital thought leadership library creates to better serve our customers by leveraging the knowledge, and expertise of our expert advisers, which also includes expertise for our most recent acquisition, regulatory compliance associates or RCA. The Sotera Health Academy will allow our customers to access critical content to expand their knowledge base. Our customers and many others in the industry rely in our expertise to help them navigate the increasingly complex regulatory landscape. Overall, I'm very proud of the entire Sotera Health team for delivering a record year in 2021 in our first full year as a public company. Our Sotera Health team maintained their focus on our mission, safeguarding global health, while meeting the needs of customers, health care workers and patients. So as we look forward to 2022, we will continue our focus on our priorities, which include driving operational excellence across our businesses, investing for growth such as adding capacity and enhancing infrastructure and pursuit of strategic M&A, and efficiently integrating acquisitions. Earlier this morning, we provided our guidance for 2022. For the full year 2022, our guidance is total revenues in the range of $1 billion to $1.03 billion, which represents growth of approximately 7% to 11%. Adjusted EBITDA in the range of $515 million to $535 million, also representing growth of approximately 7% to 11% and adjusted EPS in the range of $0.93 to $0.99, representing growth of 6% to 13%. We are targeting increased level of investment in growth-oriented projects in 2022, reflecting a positive longer-term view of the demand environment for our products and services. We will continue with the capacity extensions that were active coming into the year. In addition, we intend to kick off two new sterilization greenfields while continuing to invest in the major cobalt-60 supply development projects that we announced previously. Scott will cover the outlook in more detail, including our qualitative assumptions on trends as well as what we currently expect relating to the cadence. Now I will comment briefly on what we expect in the broader markets where we operate and how they impact our businesses. The persistent and evolving nature of the pandemic, along with this ancillary impacts on supply chain, and labor markets remain an important factor coming into 2022. For most of last year, we felt those impacts were more indirectly based on how they created challenges for our customers. Recently, we are feeling the impact more significantly in terms of labor as there have been higher levels of pandemic-related absenteeism as well as labor market disruptions in the form of labor shortages and wage inflation. We have often said that our businesses are well positioned to pass through inflation, and cost pressures to maintain our margin profile and this position has not changed. Last year, we characterized the macro environment is unsettled, but we remain cautiously optimistic. This year, I would characterize the environment in a similar manner. We are encouraged by the relate in the markets we serve but are cautious in the light of the many unexpected terms of this pandemic in products. I will now turn the call over to Scott to cover the fourth quarter in more detail and comment further on our outlook.
Scott Leffler: Thanks, Michael. I'll first cover the fourth quarter highlights on a consolidated basis and then provide some insight on each of the business segments, along with updates on capital deployment and leverage. I'll end with more detail regarding our 2022 outlook. On a consolidated total company basis for the fourth quarter, revenue grew by 11.3% as compared to the fourth quarter of last year to $241 million. On a constant currency basis, revenue grew by approximately 11.5%. Adjusted EBITDA grew 10% from Q4 2020 to $125 million. Adjusted EBITDA margins declined by 40 basis points compared to Q4 of last year, driven entirely by margin compression within the Nelson Labs segment. I'll provide more detail on that in a moment. Our strong operating performance, combined with our reduction in interest expense of more than $32 million resulted in adjusted EPS of $0.23 per share, up $0.14 from Q4 of 2020. As a reminder, the interest expense reduction resulted from the repricing of our term loan and planned paydown of debt consistent with our capital deployment strategy. Now let's take a closer look at the segment performances. In Q4, Sterigenics delivered more than 11% revenue growth and almost 13% segment income growth over Q4 of last year. Revenue growth drivers for Q4 included organic volume and mix growth of more than 8% as well as pricing contribution of nearly 4%. There was no inorganic contribution for the quarter and FX impact was minimal. Compared to the fourth quarter of 2020, segment income margins expanded by more than 50 basis points driven by higher utilization levels and pricing. Sterigenics volumes remain near peak utilization level. We continue to make meaningful investments in Sterigenics capacity, and the enhancements at our North American EO facility. For Nordion, Q4 revenue grew by 28% to $37 million compared to Q4 of 2020. Nordion segment income grew 33% to $21 million compared to the same period last year. Nordion's top and bottom line growth were driven by a 19% contribution from volume and mix almost 7% from pricing and a favorable 2% FX impact. Nordion's margins were up by approximately 220 basis points, driven by operating leverage on the higher sales, and favorable pricing compared to Q4 of last year. For Nelson Labs, Q4 revenue increased by 2% to $54 million compared to the fourth quarter of 2020. And segment income declined by approximately 13% to $20 million for the same year-over-year period. As Michael mentioned, Nelson Labs is the one business unit that is experiencing challenges relating to direct and indirect impacts from the pandemic. Similar to the third quarter, Nelson Lab experienced a 10% headwind from reduced PPE testing, which was largely offset by contributions from the acquisitions of BioScience Labs and RCA. Favorable pricing also contributed a little over 3% of revenue with non-PPE volumes largely flat. Q4 2021 margins for Nelson Labs contracted by about 620 basis points compared to Q4 of last year, driven most significantly by the lower mix of PPE testing and margin dilution from the BioScience labs and RCA acquisition. The two acquisitions contributed approximately 190 basis points of dilution to segment income margins in Q4. We view this impact from the acquisition but shorter term in nature while we scale up the businesses. Finally, Q4 was also affected by the increasingly challenging labor market as referenced earlier. Now let me provide some highlights relating to capital deployment and net leverage. Our CapEx for 2021 was $102 million, which reflected a significant acceleration of spend in Q4. Our spending was and is focused on growth initiatives, facility enhancements and Nordion cobalt supply projects. This is in response to both current and anticipated growth in customer demand. As of December 31, we had $107 million in cash and maintained a strong liquidity position. Our net leverage declined to 3.5x, representing a total improvement from the - for the year of about three-fourth of the term. As previously communicated, the combination of our recent debt paydowns and the repricing of our term loan in January resulted in a reduction in full year interest expense from over $215 million in to about $74 million in 2021. Finally, I want to provide additional color around our 2022 outlook. I'll start with the quantitative summary and finish with our assumptions. For full year 2022, we are providing guidance of total revenues in the range of $1 billion to $1.03 billion, representing growth of approximately 7% to 11%. Adjusted EBITDA in the range of $515 million to $535 million, also representing growth of approximately 7% to 11%. The tax rate applicable to adjusted net income of 29% to 30%. Adjusted EPS in the range of $0.93 to $0.99, representing growth of 6% to 13%, and a fully diluted share count in the range of 280 million shares to 283 million shares on a weighted average basis. Before discussing capital expenditures, I wanted to add some color on our effective tax rate for 2022. Some of you may recall that the 2017 tax reform provided for limitations on deductibility of interest. The tax reform at that time provided for a change in 2022, whereby deductibility would be further limited. This increasing limit on deductibility, combined with a large carryforward of nondeductible interest from prior period impact how we account for taxes and result in a slightly higher tax rate in 2022. Moving on to CapEx. Our CapEx is projected in the range of $140 million to $170 million for the year. This level represents a material increase over our 2021 CapEx, and an even greater increase over our historical spending levels. In 2022, we are increasing investment in a number of capacity expansion projects. We plan to kick off two new sterilization greenfields in 2022, and that are expected to come online by 2024. In addition, we expect to ramp up spend on Nordion's long-term Cobalt development project, and continue to invest in more routine capacity expansions at existing Sterigenics, and Nelson Labs facilities. Our portfolio of capacity expansion projects represent investments across all of our segments, and in all major technologies and geographies of the company. Our elevated spend, particularly the kickoff of the two new sterilization greenfield reflects our optimism regarding long-term customer demand for our services. As we've noted frequently in the past, we did not make these types of investments unless the demand calls for it. We also expect increased levels of spending related to our program of facility enhancements across our U.S. EO network. Finally, we expect interest expense in 2022 to be in line with 2021. The rising interest rate environment should translate to increases in interest expense on the unhedged portion of our variable rate debt, which will offset some of the savings from debt pay down and the repricing in 2021. From a qualitative standpoint, our assumptions are as follows: we are anticipating labor market and inflationary pressures to continue through the first half of 2022, as well as some continued direct or indirect impact from ongoing COVID-related supply chain disruption. We have not assumed any specific geopolitical risk in our projections, but are focused on anticipating and managing these types of risks to the extent we are able. As we look at the cadence of quarterly reporting, I'll comment briefly on each business unit. Sterigenics finished 2021 with positive momentum, and we expect that to continue into 2022 and with the greatest benefit from recent capacity expansions and pricing initiatives being realized in the second half of 2022. As is always the case, the phasing of Nordion's performance is driven in large part by harvest and shipment schedules for cobalt-60. Based on how we see deliveries shaping up this year, we think there will be a relatively even balance between the first half and second half of the year. Nelson Labs is expected to feel continued pressure in the first half of 2022 from the same headwinds affecting recent quarters. That being the case, we expect segment revenue to be down in the beginning of the year with further margin deterioration to the low 30% range for early 2022. Combined with realizing benefits from pricing and operational initiatives, we expect run rate segment income margins to return closer to more normal levels in the second half of the year. Nelson Labs and Sterigenics will both experience some lag between inflationary cost pressures in the first half of the year, and the offsetting price benefits in subsequent quarters. From an FX standpoint, our guidance assumes that current rates remain in effect for the remainder of the year. Current rates would represent approximately a 1% headwind to total company revenue for the year and this headwind is reflected in our guidance. From a capital deployment standpoint, we continue to prioritize growth initiatives and strategic acquisitions. We do not assume any acquisitions in our guidance. I know that was a lot, and we're happy to take any questions during the Q&A. Like Michael, I want to thank all of our team for their individual and collaborative efforts, which continue to put us in a strong position for future growth. Michael, back to you.
Michael Petras: Thank you, Scott. Before transitioning to Q&A, I'd like to address the topic on the minds of many investors. We do, in our Nordion business, source some of our cobalt-60 from Russia, as we have previously disclosed. We are monitoring the current geopolitical situation, and are taking appropriate action to protect the supply of cobalt-60. At the present time, no customers have been affected. Our 2022 guidance is based on our current understanding of already announced sanctions, which we do not expect to have any impact on our Russian supply at this time. There is no way to predict with any certainty how the events will unfold in the short or long term. Based on the scenarios we have looked at thus far, even if the situation was to dramatically worsen, we expect an impact of between 0 and 3% of total Sotera Health 2022 revenue. So to sum up, as we move into the question-and-answer session, Sotera Health continues to be in a strong position for growth on both the top and bottom line in 2022. Overall, we feel really good about the company's current and future prospects. At this point, Norma, we'd like to open up the call for question and answers. Thank you.
Operator: [Operator Instructions] Our first question comes from Matt Miksic with Credit Suisse. Your line is open.
MattMiksic: Great. I appreciate all the color. One just a question on the guidance. The EPS growth range, obviously at the bottom end of the range is below the sales growth range that you provided. And Scott, I just would love to understand what factors kind of potentially drive EPS to that level. And on the other side, what factors would drive you to sort of the higher end and deliver some leverage? And then I have one follow-up.
Scott Leffler: Sure. Thanks, Matt. So I think if you look at the guide in terms of the movement in adjusted EBITDA relative to the movement in revenue, you can infer from that largely flat margins at the adjusted EBITDA level. And so some other factors that we're contemplating in the other drivers of adjusted net income and adjusted EPS would include a modest increase in depreciation expense, which is reflective of some of the investments that we're making. As I mentioned earlier, we're assuming relatively flat interest expense year-over-year, but we are assuming a modest increase in the tax rate applicable to adjusted net income, based really on the kind of preprogram change in the corporate tax environment based on the 2017 tax reform.
MattMiksic: Okay. So flattish, but not for the depreciation tax rate and interest expense roughly, is that the right way to think about it?
Scott Leffler: That's a fair interpretation, yes.
MattMiksic: Okay. And then just a follow-up, Michael, if I could, on - I've gotten a lot of questions on Russia and Ukraine, obviously. You're expressing others with exposure have expressed some what sounds like more comfort or more, at least a starting position of we're not expecting a significant impact. Any context you can provide potentially around the nature of the contracts and agreements that you have or nature of the sanctions and how at this point, you have a bit more confidence than maybe others might at a more superficial level, just looking at the location of that relationship.
Michael Petras: Yes, Matt. What I would tell you is we buy cobalt from several sources around the world. Russia is one of them, and we have a long-term supply agreement with them like we do other utilities around the world. Remember, we procure it and then we transport over to our Ottawa facility to do final processing. Based on what we see today and the talk with the authorities, our materials are not sanctioned at this point in time, and we feel that we're going to be able to continue to move product around and get it to our customers. Obviously, it's a matter of managing some of our inventory, some of the inbound and then the outbound shipments to our customers that ultimately matter. But at this point in time, we're not impacting or projecting any impact to our financials on that. And I also, in my prepared remarks, gave you kind of the worst-case scenario as we see it right now if the situation would dramatically change.
MattMiksic: And just to be clear on that at worst case scenario, I mean, what would change? Would be the materials would become sanctioned or does that include some, I don't know, logistical challenges and getting supplies out? What gets you to that 0 to 3% or the high end of that...
Michael Petras: It could be any of the above, right? It's - Matt, it's hard, as you know this is an evolving situation, right, in exactly how the logistics paths are maneuvering, if you will, or evolving. Also, if there's sanctions specifically on the materials or the segment, the banking relationships, there's many factors that go into it. I don't have great visibility into all the sanctions and the plans, obviously, that others may be contemplating. But that's basically how we looked at it. If we weren't able to get the cobalt we need, that would be the downside impact.
Operator: Our next question comes from Sean Dodge of RBC Capital Markets. Your line is open.
Sean Dodge: I guess on the capacity expansions in Sterigenics, Michael, you mentioned two new sterilization greenfields. Can you give us a little bit more background on those, where are they? Are they going to be EO or a different technology? How much additional capacity does that add? And then anything on the permitting process or kind of regulatory process involved the lead times there difficulty in establishing one of these facilities from scratch?
Michael Petras: Yes. Sean, we've been in dialogue with our customers as well as the regulatory authorities as well as people in the communities as we always do when we look at expansions. We're not going to get into specifics as to how much capacity it brings or what modality is. We are making investments across our network and all technologies in all major geographies. We expect these greenfields to come on in the second half of 2024. And the nice part is Scott referenced is consistent with what we've done in the past. We have significant customer expectations around this and interest and ultimately will result in the commitments as we put the shovels in the ground. So we're really optimistic about this. the big point I want you to take away from this is the end markets continue to see value in the services we provide and the demand is there. And that's reflected in our Sterigenics performance to date and will be going forward as well.
Sean Dodge: Okay. I guess, and then Scott, you had outlined some of the influences on net income for the year from the higher interest and tax. If we think about EBITDA related to these investments, is there anything that's dragging on EBITDA as you build out this new capacity before it becomes revenue producing?
Scott Leffler: No. Certainly not with respect to our 2022 guide.
Operator: Our next question comes from Patrick Donnelly with Citi. Your line is open.
Unidentified Analyst: Jason on for Patrick. Two quick questions. First, you noted in the outlook, some embedded assumptions for things like supply chain, inflation and labor supply and elective procedure recovery rates. Maybe can you just discuss first what you're seeing there in terms of trends for the year?
Michael Petras: Yes. On the recovery piece, Jason, as far as the device volumes, we're seeing continuous increases - and coming back, obviously, towards the end of the year of last year, things got soft with elective procedures being shut down an Omicron starting to take in. But as we think about 2022, we'll see a gradual improvement, similar to what we predicted last year, which were part of my comments going forward. I'm sorry, what was the other question then Jason as well?
Unidentified Analyst: Just on supply chain and maybe inflation and labor spend.
Michael Petras: Yes. On supply chain, we predicted inflation in the business. We feel very good about our ability to offset that with price and other operational improvements in the business. We see a challenging labor market. As we mentioned in our comments, clearly feeling it more in the United States than we are in other markets around the world. And it's in businesses like Sterigenics and Nelson, where we've seen it. We think that we'll have some overhang of that inflation going into the first half of the year. And then as we mentioned, second half of the year, we'll be able to start to see some price and productivity to be able to offset that inflationary pressure.
Unidentified Analyst: Got it. That's helpful. And then just one more question. As leverage continues to drop I think you guys get towards three times at the end of the year. At what level are you comfortable with? And kind of what's your updated position on M&A and organic growth moving forward?
Michael Petras: Yes. As we stated, our long-range objective was two to four times net leverage we're in that range today. We feel very proud of what we've been able to accomplish last year, getting us down to 3.5 times. Our priority still and always has been to reinvest back in the business for inorganic growth. That's why you're seeing the heightened increase in acceleration around our capacity expansions. The capital is there, the customer demand is there. And one other point that we didn't reference in our comments here, we just completed our annual customer satisfaction survey and again, had very high remarks across the businesses from our customers. So we're really proud of what the teams are doing day in and day out. We see the end markets being pretty strong, and we're going to deploy capital for inorganic growth. And then we'll be very thoughtful and strategic around M&A and making sure it's on strategy, and it delivers the returns that we would expect but overall, really not a major change in our capital deployment strategy from what we've outlined in the past.
Operator: Next question comes from Matthew Mishan with KeyBanc. Your line is open.
MatthewMishan: First's, can you talk a little bit about your visibility towards litigation progressing in Willowbrook as expected in July as well as your thoughts on. I know there's a proposed rulemaking on NESHAP at some point by the end of the year.
Michael Petras: Yes, Matt, this is Michael. Let me take that. I'll actually use this as an opportunity to hit a couple of points on the EO situation. First, answering your question, the trials right now are set in Illinois for July '22, September '22 and November of 2022. So there will be three trials right now that we see on plan for the second half of the year, if you will. We're anxious to get those done. We've got our teams very focused on our defense, and we feel good about where we're positioned today, but ultimately, it's going to be decided in the courts. As far as overall developments, we continue to move forward with our GFE enhancements. Some of you may have noticed some of the activity towards the end of the year and then more recently at the beginning of this year. First would call out New Mexico. There was a court order granted, both parties, the attorney general and the company, both proposals in front of a judge on how the facility ought to be monitored going forward. We were pleased with the outcome of that. The judge took an order that was consistent with our expectations, and we are moving forward with our GFE enhancements that we'll have completed here in 2022 for the Santa Teresa facility. Also another key point, although we've had a facility up and operating in Georgia for quite some time with improvements, which, again, are world-leading in many aspects. We are also pleased to see that recognized by the regulators, and we are granted a new environmental air permit in Atlanta during early parts of 2022. So we're very encouraged by things that we're doing in this area, and we're going to continue to move forward with that strategy. As far as NESHAP, which I believe is what you're referring to, right now, our current understanding is sometime in the second half, probably late second half, we will see new NESHAP proposed rule that will be open for public comment. So that is the current timing. We - multiple times, we've told the team here before, we'd like to have this done earlier. We would've liked to see it in '18, '19, '20 or '21. Right now, the government is projecting second half of 2022. And we're anxious just tell us the new rules, and we'll make sure we exceed the expectations there.
MatthewMishan: Okay. Excellent. And then this year, I noticed there was a little bit of a wider reported sales growth range the guidance than last year, I mean, not by much. But I would think that '22, a little bit more clarity than maybe you did early last year, maybe not. But what's driving a little bit of that wider range? Kind of what encompasses kind of the low end versus the high end?
Michael Petras: Matt, my recollection is the - as far as the initial guidance that we issued in the early part of '21, it was consistent with this in terms of the kind of size of the range. We did narrow the range as we got into the second half of the year, but I wouldn't read anything into the size of the range. This is just, I think, representative of the different variable drivers of the business. Obviously, there's a lot going on out there in the world right now, and we just want to make sure that we're contemplating the range of factors.
MatthewMishan: Okay. And then just last question on the Cobalt. If there were some changes, just could you just broadly frame how like a disruption to that supply would impact Nordion, but then also how would it slow down to Sterigenics?
Michael Petras: So the impact would be that we can't get the cobalt that we need from Russia, right? So we have some cobalt projected in our business is are coming from Russia that we would then disperse the customers like Sterigenics. So the flow would be Nordion doesn't get it, and hence, they won't be able to ship it to the customers. Now recognize all of our cobalt that we get in a given year goes out in the same year. There's a time lag of processing and things of that nature to get out. And we also have other sources of cobalt hence, the range that we gave you 0 to 3% across the whole company. And the impact would be our ability to get it out to customers such as Sterigenics or other customers that rely on Nordion.
Scott Leffler: And just to emphasize, that range of 0 to 3% total company impact that Michael mentioned, that would be inclusive of both the direct Nordion impact as well as any kind of downstream impact on Sterigenics.
Operator: Our next question comes from Luke Sergott with Barclays. Your line is open.
Luke Sergott: Great. I just wanted to follow-up here on how you guys are thinking about the device recovery. So it seems that most device guys think that the second half is coming in full. And your Sterigenics is at full capacity and your CapEx expansions aren't going to bring any new capacity online until '24. Just trying to figure out where the upside to your numbers can come from given those certain levels?
Michael Petras: Yes. Luke, this is Michael. So a couple of points. We see similar type of recoveries in the second half of the year being stronger than the first half. similar to what you're hearing from Med Device. But also recognize that we had several expansions come on late last year, and we also have several that are in process that will be ramping up throughout '22 and '23. And then the two greenfields that you mentioned and that I referenced will be 2024 kind of second half. So I would tell you that we do have some capacity coming on board that we've talked to you about in the past where we had three that have gone live and about seven of them in process, then we got to two greenfields. That's what I would tell you to count. And then in addition to that, also recognize some of the things that we mentioned to you multiple times in the past is about the operational excellence work going on across the company. And the work that Mike and the team are doing there to drive even more efficiency and productivity out of our existing asset base. So we feel confident about our ability to deliver on the revenue that we've given you based on our capacity situation. So hopefully, that's helpful, Luke.
Luke Sergott: Yes, it is. And then, I guess, on those greenfield opportunities, are you guys - is that mostly EO or is that going to be - are you guys planning to have new technologies implemented? Just trying to stay abreast of what's on the horizon here for you.
Michael Petras: Yes. We haven't specifically said publicly what the investments are, what we are stating in going to be in all major geographies across all technologies. So that would be EO, cobalt, x-ray, e-beam, that's what we would tell you at this point in time.
Operator: Our next question comes from Tycho Peterson with JPMorgan. Your line is open.
Tycho Peterson: You guys have touched on pricing a couple of times in the prepared comments. Can you just give us a sense of the magnitude you're expecting this year versus your historical three to five? And any discolor across the three divisions where you may see greater pricing potential?
Michael Petras: Well, I would say the - really, the incremental impact for 2022, obviously is inflation. And as we've said, and we have a high degree of confidence that we can pass through any inflationary cost pressures in the form of price. I would say when we look across our businesses, the cost pressure that we see translates to probably around 1.5% to 2%. And of inflationary cost pressure. And so when you think about incremental price in 2022, we would expect to be able to recapture that 1.5% to 2% with incremental price above and beyond the historical run rate. As far as the other part of your question in terms of which businesses would be more or less impacted by it. Overall, we think that each of our businesses is going to be able to pick up whatever they feel in terms of cost pressures.
Tycho Peterson: Okay. That's helpful. And then on the Russian situation, I appreciate all the color and the fact you're talking about a 0 to 3% impact here. You have disclosed in the 10-K that 20% of the cobalt source comes from Russia. I'm curious as we kind of think about the situation, are you looking at alternative sites at this point? How easy is it to switch? And do you have kind of minimum volume requirements out of the two facilities in Russia that you be holding to even if you switch suppliers?
Michael Petras: Yes. Tycho, we have a global network of cobalt suppliers. We get cobalt from Russia Canada, China, India, Argentina, these are longer-range agreements. This isn't something you could kind of pop in the open and get it out in 10 minutes, right? So it's one of these things that has to take time to bake. We - the reason we signaled to you that if there was a worst-case scenario, was because there aren't a lot of offsets to be able to do that. We'll be able to manage to a certain degree, any pressures we get based on the inventory we have in shipments coming in, but there's not a lot of excess out there. But we feel really good about where we're at today in the Nordion business and how well it's positioned for 2022 based on the long-term global supply market and also recognize one of the things that we're doing strategically with our CapEx is cobalt supply to open up more paths for us longer term. The work we're doing with Westinghouse, the work we're doing with some of the Canadian reactors and some other investments that we haven't announced yet. But I would tell you that we continue to invest in cobalt development for long-range supply and also diversification of our supply base. So hopefully, that's helpful.
Operator: Our next question comes from Dave Windley with Jefferies. Your line is open.
DaveWindley: A couple of follow-up questions. One on Tycho's question on pricing. If you are getting and expect to get incremental price to capture the inflationary cost pressure that you're seeing, to what would you point then as the headwind factors that are preventing you from seeing EBITDA margin expansion to a similar degree as you normally would in '22?
Scott Leffler: So I would say, Dave, that there are two factors, really. One is that there is a small amount of price lag between the time that we identify the inflationary cost pressure, and then the time that we are able to roll out offsetting price increases. And so that doesn't have a longer-term impact on the margin profile, but just it creates a little bit of noise in the near term. And then the other factor when you look at it on a business unit level is that, as we said on our last quarter call and again on this one, the normalization of activity at Nelson Labs is really a few - it's going to take a few quarters to work that out. Obviously, we have one quarter behind us in terms of Q4 performance, but we've got a little bit more time to go still for Nelson to normalize their results, including their margin profile. And so that creates, on a full year basis, a little bit of lag for the total company results. even though we would expect the second half of the year run rate to look a lot better than what they're going to see in the first half of the year.
DaveWindley: Got it. And that's a nice bridge to my second question, which is around Nelson margin. I think in prior quarters, as you began to lap the PPE headwinds and those were bigger than were previously expected at least on our front. You saw or we saw margins in Nelson declining from maybe 42%, 43% down to closer to 40%. And I think the message was that, that kind of reflected those PPE headwinds. Obviously, fourth quarter was below that and you're expecting the first half of '22 to be well below that. What are the incremental pressures there that are taking the margin down in Nelson 1,000 basis points?
Scott Leffler: Sure. So there is some amount of incremental impact even beyond what we saw in Q3 from unwinding a little bit more of the PPE baseline that they had coming into the quarter. As I mentioned in my prepared comments, we had almost 200 basis points of margin compression in Q4 that related just to the acquisition activity, which again is just something that we've said in the past is somewhat typical for us because our margin profile is so generous. As a starting point, really pretty much anyone we acquire is dilutive in the very near term. And then eventually, we scale them up to be closer to our margin profile. But really, the true new and incremental factor above and beyond those that we expect to impact us in the first half of the year, relates to some of the new pandemic - or incremental pandemic impact that Michael mentioned, Nelson Labs being our most people-heavy business had an outsized impact from Omicron in early Q1 and then other factors relating to the labor market. And so we're pleased with the actions that they've taken in order to respond to those pressures in the early part of Q1, but it will take a little while to normalize that element of their operating model.
DaveWindley: Got it. And then last one on the acquisition comment that you made, and I think in your prepared remarks, Scott, you talked about that being a relatively short-term item that would improve as you scale those businesses. Perhaps you could talk about what time frame you're thinking about when you call that short term? Is that simply just lapping the acquisitions into organic, or is it longer than that?
Scott Leffler: Well, without getting into specific time lines for specific drivers, maybe I'll just answer that by reiterating one of the comments we made, which is that by the second half of the year, we are expecting Nelson Labs run rate margin profile as a business to be back to close to what we call normal. And as we said on our last call, we view "normal" for Nelson Labs, as being something that's close to the segment income margin profile that they reported in Q3 of last year. And so the various headwinds that they're experiencing right now, including the one that you asked about, the combination of all of the normalization factors would contribute to that more normal margin profile in the second half of the year.
Operator: Our next question comes from Amit Hazan with Goldman Sachs. Your line is open.
Amit Hazan: Maybe start with CapEx. Just looking at the number comparing it to where your guidance was back at the time of the IPO this is much higher. At the time of IPO that already had included some growth spending that you anticipated in there. Just kind of curious if this is the new normal? And if you can help us just talk through the buckets, the maintenance versus growth CapEx and also the kind of onetime ongoing bucket of EO improvements. Has that changed now? Is that a larger number than what it was when we first were - when you were first to coming on as a public company.
Scott Leffler: Sure. So maybe just one anchor point for you, which is that we estimate out of the range of $140 million to $170 million of spend in 2022, we estimate that about 60% of that planned spend is going to be directed towards growth investments. And there are a number of factors that drive that higher than our historical average. But clearly, the largest by far, is going to be the impact from incremental growth investments. I think we've talked in the past about the fact that capacity expansions, not all capacity expansions are created equal. The capacity expansions that we talked to you about throughout 2021. And most of the capacity expansions that we have active right now really are add-ons to existing facilities that come at a very modest cost. So it is really a big move from our part anytime we do a greenfield and obviously, to be launching two greenfields at the same time, really hopefully sends a positive message as far as the longer-term outlook that we see. I wouldn't necessarily look at this level of spend as being representative of the long-term run rate because as you mentioned, it is reflective of the special onetime projects. We have a ramp-up in spend relating to the Nordion long-term cobalt development projects, and that will only - that spend will only continue for a few years. and the elevated level of spend relating to the EO facility enhancements, the 2022 impact of those - that specific category for EO facility enhancements will be around $30 million out of the range that we cited. But again, the greatest emphasis is around growth investment, which is a reflection on the very strong demand environment.
Amit Hazan: Okay. And just as a second question, just coming back to just supply chain issues out there. covered Russia in pretty good detail, but you obviously talk about in general, other supply chain challenges that you're seeing. Can you just give us more color on some of the risk factors that you're looking at right now for the year as it relates to supply chain outside of cobalt?
Michael Petras: Yes, Amit, I would say - this is Michael. I would say it's mostly driven around the customers and some of their labor challenges as well. We mentioned in the past the indirect impact that we're seeing, and we still do have some of that particularly on the Nelson Lab side, where customers are just having a problem getting samples in or other projects we might be working with them on. They may be taking people and redeploying them to production jobs as they have absenteeism. So we're having some moving parts around that aspect of the supply chain ability to get drivers. We're hopeful that gets to a more normalized level as we go into 2022. But that is - those are examples of things that we're seeing at our customers that are impacting downstream us.
Operator: Our next question comes from Luke Sergott with Barclays. Your line is open.
Luke Sergott: Just thanks again for let me follow-up here. I just want to follow up on the Russian and the cobalt situation. So I assume that given how Nordion played out that you guys were able to get the LNPP harvest that was planned. And then is that 0 to 3% total impact? Can you give us an idea if that was what was expected to be harvested this year? Or if there's any expectations on duration of the sanctions? Just anything that you can give us on when - what's baked into guidance here?
Michael Petras: Yes. So Luke, what we've said on the guidance side is that Nordion will have another strong year coming off a strong year of 2021. Also recognize as we've said in the past, there is some lumpiness or variability from quarter-to-quarter. So it's not going to all be smooth growth every single quarter. There's ups and downs that occur with the Nordion business based on timing of harvest that yourself are referencing. We harvest quite a bit of cobalt in 2021. And with the utilities, and we've got several cures in process already. What we are highlighting the 0 to 3% of total Sotera Health revenue on a worst case impact if the situation gets really bad. That is based on what we see today, and that is based on '22 impact. Now recognize all the cobalt we get in, in '22 doesn't necessarily mean it was projected to go out the door in 2022 in revenue. there's timing aspects of the thing. And when the harvest was container fleets, processing, there's many aspects of the supply chain that we've walked through in the past with many of you. So I would tell you the view that we're giving you is based on a 2022 outlook. We haven't done anything to think beyond that.
Luke Sergott: Okay. That's helpful. And just can you walk us through just one more time on timing of when you guys harvest and then when it goes out the door usually?
Michael Petras: Yes. That all varies by where it's coming from the world. If it's Argentina, if it's Canada, if it's Russia, if it's India, China, there's varying degrees based on transit lanes and timing of that. So I don't want to get into particular there's no like one answer for everybody. It all depends on the processing in the supply chain logistics. But it's not a straight line. I get cobalt from Russia now I lose it in sales. That's why you're seeing some numbers that we've referenced in the past are higher levels of supply we get from cobalt at any given time. from Russia that does not translate dollar for dollar in revenue impact. That's the point - that's why we wanted to make sure we gave you some general guidance of what we're seeing today based on the sanctions and if it became a worsening situation. Yes. Great. Well, I want to thank everyone for your time today. Hopefully, you feel exciting we have across the business. We are well positioned in Sotera Health for a strong 2022. And we continue to invest for long-term growth, all while safeguarding global health. So thanks for your time, and enjoy your day. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Everyone, have a wonderful day.